Operator: Good afternoon, ladies and gentlemen, and welcome to the Red Robin Gourmet Burgers Incorporated Third Quarter 2016 Earnings Call. Today's call is being recorded. During the course of this conference call, the company may make forward-looking statements about the company's business outlook and expectations. These forward-looking statements and all other statements that are not historical facts, reflect the company's beliefs and predictions as of today and therefore are subject to risks and uncertainties as described in the Safe Harbor discussion found in the company's SEC filings. During the call, the company will also discuss non-GAAP financial measures. These non-GAAP measures are not prepared in accordance with the generally accepted accounting principles, but are intended to illustrate an alternative measure of the company's operating performance that maybe useful. A reconciliation of the non-GAAP financial measures to the most directly comparable GAAP measures can be found in the company's earnings release available on its website. The company has posted its fiscal third quarter 2016 press release and supplemental financial information related to the quarter's results on its website at www.redrobin.com in the Investors' section. Now, I'd like to turn the call over to Ms. Denny Marie Post of Red Robin. Please go ahead, Ms. Post.
Denny Marie Post - Red Robin Gourmet Burgers, Inc.: Thank you, Vicky, and thank you, everyone, for joining us on this lovely Colorado afternoon for our discussion of Q3 results and 2016 year-end outlook. Our Chief Operating Officer Carin Stutz and VP Finance, Ted Watson will join us for Q&A after Terry Harryman and I finish our prepared remarks. As we shared in our press release two weeks ago and in the final information released shortly before this call, Q3 revenue and earnings fell short of expectations. Terry will provide more details shortly. While falling short is always disappointing, it is only part of a bigger story. One with quite a few positive elements. As I laid out, on the Q2 call, we knew we had to move quickly to improve our value proposition to generate higher top-of-mind awareness and to reverse our declining speed of service trends. The value and awareness fronts, we made on the value and awareness fronts, we made a decision to invest and reasserting our everyday value offerings beginning in Q3, consciously trading off average check. We launched three new items in the Tavern menu, each at $6.99 and each served all day, every day, with our famous Bottomless Steak Fries. Where before there was only one choice at $6.99, now there are four. This much needed news on our Tavern platform moved us back to beating the competition on traffic as measured by Black Box. We have been steadily gaining grounds since late last year, and we took a major leap forward in Q3, moving ahead of our competition by 120 basis points. It feels good to be ahead of the pack again, the vision or the view is better, but we won't rest until traffic is positive and even then we won't rest. Resting is not how Red Robin roles. To improve top-of-mind awareness, we continue to invest in select local market media plus up, and next week, we will launch our new Let's Burger Campaign on national broadcast television after having debuted it online two weeks ago. This new campaign asserts our Burger Authority, while reminding guests of what makes Red Robin truly unique. Our one-of-a-kind multigenerational come-as-you-are and always leave happier environment. Our goal for the new campaign is higher awareness to drive higher consideration, because we know when we are considered, we convert to visits at higher rates than the competition. Red Robin is a destination that everyone can agree on. But, as we also well know, driving sustainable sales and traffic goes far beyond more effective marketing. It demands great execution at the restaurants. I'm very pleased to report that under the leadership of our new Chief Operating Officer, Carin Stutz, we have made significant progress on operational performance. We began measuring Net Promoter Score or NPS at the server, shift and day of the week level by restaurant about a year ago. In the first period of full system measurement, our NPS was 54. With heightened focus, our field teams have significantly lifted NPS to 68 as of last week, by improving top box ratings, and even more importantly by steadily decreasing detractors. Earlier this year, we used the data to isolate the times of the week when we were underperforming our guest expectations. Each location has visibility to their performance and field leadership works with the teams to course correct, coaching teams and investing in incremental labor where warranted. As of last week, 51% of our restaurants are already hitting our year-end NPS goal, setting a performance path for others to follow. The rollout of our Kitchen Display System or KDS is now complete, on time as promised. This most basic of operating systems long-delayed due to other investment priorities is making a measurable and important difference in speed-to-table. We are seeing a correlation between faster ticket times and higher NPS. Mystery shops further affirm improvements to come, as those locations that have had KDS the longest have significantly higher percentages of shop with food arriving at the table in under 11 minutes. The promise we saw in the pilot is coming to life across the system. Operational improvement and speed-of-service and guest satisfaction fueled the dine-in business, where we must continue to drive a winning differentiated experience and everyday value. However, it is increasingly clear, that today's guest is defining convenience as the option to choose whether to enjoy food at the restaurant, carry it out, or have that same food delivered to consume at home or over a meeting table at the office. Today's successful restaurant is both a preferred destination and a convenient source. As we have shared, our current off-premise mix is less than half industry average. We simply have never focused on this opportunity. Now that we have KDS in place and our kitchens can handle higher peak volumes, we are set to move forward on growing our off-premise business via carry-out, delivery and catering. We are moving quickly on multiple fronts here. We are expanding our online ordering pilot to 36 locations next week. We have two promising tests underway in 20 locations with third-party delivery systems. We have new packaging in tests, we have a large party carry-out and catering menu developed and ready to selectively implement. Off-premise is our number one priority and we have committed dedicated resources throughout our organization to bring this opportunity to life, effectively and efficiently. We expect these tests to come together in a series of carry-out, delivery and catering rollouts by late 2017. With a shared engine of superior operations, we believe, we can compete effectively on both dine-in and off-premise. Unlike those, who pioneered the off-premise business, we do not have the challenge of creating a market, rather we have an opportunity to participate in its phenomenal growth. It won't be easy and it won't be one size fits all for our restaurants, but we expect it will ultimately make a material difference in our business. We plan to share more on test status as part of the 2017 outlook on the Q4 call. Given the opportunity to reset direction, we've also chosen as a team to make some tough calls. The most difficult of which was the recent elimination of 17 primarily senior roles in our organization. Additionally, we chose to close 9 of 12 Red Robin Burger Works, including all the locations in Chicago and Washington D.C. High cost, urban size with limited day parts, which had never met expectations and we're losing money. We also chose to impair 2 Red Robin Gourmet Burger locations and to announce the planned closure of our Canadian support office by the end of first quarter next year. We made these moves and we'll continue to make others as needed to reduce overhead and focused our leadership on fewer high-return opportunities. Finally, as we're evolving our strategy, we are doing it with a keen eye on how to allocate capital into the business, including when it is best for us to return that capital to shareholders. With that orientation and to maintain flexibility as we power through this category downturn, while also testing and building the right formats for our future. We have chosen to significantly reduce new unit development. We originally plan to open at least 30 new full service units in each of the next two years. We are now slowing that development plan to no-more than 16 units in 2017 and expect to do even fewer than that in 2018. This decision is part of a balanced capital deployment strategy moving forward, one which will evolve as the business strategy evolves. With that, let's turn to Terry to share the details on quarter three and year-end guidance.
Terry D. Harryman - Red Robin Gourmet Burgers, Inc.: Thanks, Denny, and good afternoon, everyone. I'd like to start by referring you to our earnings release and supplemental package for complete information on our result as I'll only be hitting the highlights, discussing key trends and other business matters in my prepared remarks. Loss per diluted share in the third quarter was $0.10 on a GAAP basis. This differs from the loss of $0.23 per diluted share in our pre-release due to a revision in income tax credits. After adjusting for restaurant impairment and closure costs of $9.3 million that were recorded in the third quarter of 2016 as well as the revised related tax benefit, earnings per diluted share were $0.38, a decrease of 34.5% from $0.58 in the third quarter a year ago. Adjusted EBITDA for the third quarter of 2016 decreased 12.6% to $27.3 million compared to $31.2 million in the prior year. Q3 mark the fourth consecutive quarter of negative comp sales for the casual dining sector. Additionally, traffic for the sector has been trending down since the first quarter of 2015 and has been negative for six consecutive quarters. Red Robin's comparable restaurant revenues declined 3.6% during the third quarter of 2016 compared to an increase of 3.5% in the prior year. Our traffic was down 2.4% in the third quarter, which was an improvement of 150 basis points compared to the second quarter of 2016. Our efforts to close the gap and traffic relative to our casual dining peers from 150 basis points in Q4 of 2015 and 60 basis points in Q2 of 2016 accelerated in the third quarter as our traffic driving initiatives began to gain traction. We took market share in Q3 and outperformed our peers by 120 basis points according to Black Box. As Denny mentioned, we continue to see an impact on average check as we invest in initiatives designed to deliver value to our guests and to drive traffic. During the third quarter of 2016, average check decreased 1.2% compared to an increase of 3.6% in the prior-year. The decrease was driven by a change in product mix as we focused on delivering everyday value to our customers, partially offset by price taken earlier in the year. Our third quarter restaurant-level operating margins were 18.6%, compared to 21.6% in the prior-year, driven by higher labor and other operating costs, partially offset by lower ground beef costs. Labor increased 180 basis points mostly due to minimum wage increases and to a lesser extent, sales deleverage. We also invested in incremental labor to rollout our Kitchen Display System, which was completed by the end of the quarter. Other operating costs were higher primarily due to repair and maintenance costs. Occupancy costs also increased as a percentage of restaurant revenues due to sales deleverage. As we continue down the P&L, general and administrative costs were down $3.4 million, or 14.3% in the third quarter of 2016 compared to the prior-year, primarily as a result of lower incentive compensation and to a lesser extent, stock compensation and travel costs. We reported restaurant impairment and closure costs of $9.3 million, which included $5.5 million related to the closure of 9 Burger Works restaurants. In addition, we incurred $3.8 million for the impairment of 2 underperforming Red Robin restaurants that are still operating. These restaurants were opened in 2014 and have had sites and operational challenges. Income tax for the third quarter was a benefit of $4.5 million, primarily driven by the net loss for the period. In addition, the Q3 tax benefit included an accumulative adjustment to lower the year-to-date tax rate to 5.3% due to lower pre-tax profitability including the impact of the impairment, which had not been forecasted. Turning to liquidity and capital allocation, we had $304 million outstanding under our credit facility at the end of the third quarter with a lease adjusted leverage ratio of 4.1 times EBITDAR. The business remains healthy and has generated $148 million of adjusted EBITDA over the trailing four quarters. We invested $41 million in capital expenditures during the third quarter, of which $14 million was invested in new restaurants, $10 million in brand transformation remodels, and the remainder in technology and restaurant maintenance. We expect to substantially complete the brand transformation remodels by the end of the year, which will provide an incremental increase in free cash flow of approximately $30 million in 2017. New restaurant openings have been a core part of our strategy to grow EBITDA over the long-term and provide value to our shareholders. However, as the operating environment has become increasingly challenging, the decline in sales volumes have begun to impact the returns on a new restaurant openings, and while we do continue to see some new restaurant that performed well, overall the returns are generally trending downward as the restaurant economic model deleverages at lower sales volumes. As a result, we are slowing down our development plan significantly for 2017 and 2018, while we focused on reducing our per unit restaurant development costs and improving restaurant-level profitability. We plan to share more information about our 2017 development plans on the fourth quarter earnings call. We returned $11.5 million of capital to shareholders in the third quarter through share repurchases and have already acquired an additional $9 million in the fourth quarter. Our goal is to allocate capital to maximize value for our shareholders and at current market prices, we believe our stock is a great investment. Our board authorized $100 million for share repurchases at the beginning of the year, and we currently have approximately $60 million remaining under that authorization. On our second quarter earnings release call, we reported that we were evaluating our real estate portfolio and exploring, monetizing certain of those properties to create value for our shareholders through share repurchases. However, given our ongoing work in evolving aspects of our business model and the availability of capital from our decision to significantly reduce new restaurant growth in 2017 and 2018, we believe it's prudent at this time, to hold off on those efforts. We will reevaluate that decision as our business strategy evolves. Before I turn the call back over to Denny, I'd like to provide an update on our outlook for the year. Due to the challenges we continue to see with industry traffic, we're now expecting total revenues to grow around 4% for the year, with a growth rate of 4% to 6% in the fourth quarter of 2016. While we anticipate improvement in Q4, as we cycle over softer, comparable restaurant revenues and initiatives such as our value menu, Kitchen Display System and the new marketing program continue to gain traction, industry traffic remains a headwind. We expect comparable restaurant revenues to be down 1.5% to 3.5% in the fourth quarter with traffic decreasing around 1% to 3%. Our industry traffic expectations are a decline of 3.5% to 4%. Moving down the P&L, general and administrative costs are expected to be up to $22 million in the fourth quarter, while selling expenses are expected to be approximately 3.5% of total revenues. We plan to open five restaurants in the fourth quarter and estimate pre-opening expense to be approximately $2 million. We expect depreciation and amortization to be in the range of $21.5 million for the fourth quarter. We expect our tax rate to be in the range of 2% to 6% for the year. However, the tax rate is fairly sensitive due to employment tax credits that amplify increases and decreases in pre-tax income. For example, a $1 million increase or decrease in pre-tax income will result in approximately a 1% change in the annual effective tax rate. Given our performance for the first three quarters of the year and the likelihood of continued negative industry trends, we've reduced our 2016 adjusted EBITDA guidance to a range of $141 million to $145 million. As previously mentioned, despite the challenging industry headwinds and consumer environment, we are encouraged by the impact on traffic from our focus on value and speed-of-service. We're also making the difficult decisions in the near-term that we believe will put us in a better position for 2017. Now, I'll turn the call back over to Denny, before we take questions.
Denny Marie Post - Red Robin Gourmet Burgers, Inc.: Thank you, Terry. To reiterate, we see our recent upturn in traffic and operating performance as validation of our decision to refocus on everyday value, top-of-mind awareness and improved speed-to-table. Our operations teams are making strives and guests are noticing. Further, we have made and we'll continue to make the decisions we need to make to improve profitability. I receive a lot of messages increasingly positive these days from guests who reach out to me on social media. Few weeks ago, I received one on LinkedIn from a father who thanked me for many years of fun Red Robin meals together with his three, now fully grown boys. I thanked him for his loyalty and I told him, we looked forward to serving his sons lots of fun meals with their families in the years to come. While we know we must regain market credibility through steady, quarterly performance, as a team, we're equally focused on another measure of success, being here to serve generations to come. I'm confident that with the continued hard work of our frontline, we will be doing just that. With that, let's turn to Q&A. Terry, Carin, Ted and I are all happy to take questions.
Operator: Thank you. We'll take our first question from Chris O'Cull with KeyBanc.
Chris O'Cull - KeyBanc Capital Markets, Inc.: Hey, great. Thanks. Good afternoon.
Denny Marie Post - Red Robin Gourmet Burgers, Inc.: Hey Chris.
Chris O'Cull - KeyBanc Capital Markets, Inc.: Hey, Denny. Denny, I appreciate the focus on improving traffic performance, but it does appear that the efforts are being a drag or a strain on profitability, can you help us understand whether you believe the company has over earned in the past and needs to accept maybe a lower margin or whether you have a plan to really improve customer profitability once you get more of these guests in the door, and I have a follow-up?
Denny Marie Post - Red Robin Gourmet Burgers, Inc.: Yeah, no, it's a great question, Chris I don't think we've over earned in the past. I think bringing the Tavern Double menu more visible in our restaurant, it had not traditionally been on our promotion, promo card. And so, we think this is an opportunity to get more guests aware of it. And we'll begin to see the benefit in greater frequency down the road, as well as broader reach. It supports, of course, as I said every day, all day, so with us being traditionally as strong at lunch as we were at dinner, it's good to have that $6.99 everyday, all day value out there. So I think we still have great opportunity, we're seeing actually highest ever mix on our Finest line on the other end. So we continue to have information there. So our Finest mix is strong at over 9% actually. And so we're doing really well with both Finest and Tavern. It's a nice balance on that barbell menu. So no, I don't have a concern about that going forward. We continue to have upside also, of course, in alcoholic beverage. For the first time this quarter, we saw a little bit of a stutter on that. We took about a 0.5 point – 50-basis point hit and that was primarily due to our Happy Hour initiative, which we've now paired back to a 175 restaurants that we're managing as the most profitably. So, I think we're finding our way through it, but I'll stand for everyday value, all day, everyday.
Chris O'Cull - KeyBanc Capital Markets, Inc.: Should we expect – well, it sounds like in the fourth quarter, we should expect the average check to maybe be down a little bit, but how do you – how should we think about this going into 2017? Should we continue to expect flat-to-down average check for Red Robin?
Denny Marie Post - Red Robin Gourmet Burgers, Inc.: We're still working on our full 2017 guidance, and we'll talk about that when we get together in February. And we have a number of things in test right now that we'll inform that. So I don't want to carry it into 2017, but I think you're on the right page for the fourth quarter.
Chris O'Cull - KeyBanc Capital Markets, Inc.: Okay, great. Okay, back in queue. Thanks.
Operator: We'll go next to Will Slabaugh with Stephens.
Will Slabaugh - Stephens, Inc.: Yeah. Thank you. I want to ask about to-go. You've talked a lot about that and the EBITDA potential there over time. Can you give us a little more color on what you think the most important steps as far as getting there, it sounds like KDS is one of them? And then addressing sort of what you think the consumer demand is, and why you think it is that strong there for Red Robin?
Denny Marie Post - Red Robin Gourmet Burgers, Inc.: We have a wide variance right now in how well our to-go business does. We are, on average, like I said about half of the category so less than 5% mix on to-go currently. We have some that are in – some of our locations in double-digits, who have focused on it traditionally, put dedicated labor behind it, or well-located to take advantage of it. So – and everything we've seen even from third-party providers like DoorDash, tell us that burgers are one the highest searched categories, when people are looking for options. So we think there is a demand out there to be filled. We, as far as steps to take KDS is absolutely critical. Having Carin onboard is a great benefit to us. She was one of the pioneers with another concept a number of years ago, lot of years ago. And so her expertise is going to make a big difference for our operating environment and how we understand, how to manage it. But, we think obviously getting the online ordering, making sure our Red Robin Royalty is completely integrated with that which is a real key advantage for us, we'll be – we believe, one of the first to have online integrated with a strong loyalty program. And then beginning to lean into it, with finding just the right occasions to touch those guests, we think we have a lot of upside.
Will Slabaugh - Stephens, Inc.: Got it. And then also if I could, want to ask you just a little more around the value proposition. You mentioned that everyday value working pretty well for you this quarter. Is that all Tavern, which you referencing now, and then as you think about your value prop right now, is more of an expansion around the Tavern platform in the future, or is there something else that needs to be added to further enhance that everyday value proposition at that brand?
Denny Marie Post - Red Robin Gourmet Burgers, Inc.: I'd say it starts with Tavern and more choices at $6.99, which certainly helps us, but again our Tavern Double menu ranges up to $8.49 for some of our items, and so we're continuing to see good trial in all those areas. The next key component is our Bottomless proposition, and we're measuring via our tabletop media, where we know that out guest wants to be asked if they want more fries and even if they don't chose to take advantage of it, they want to make sure it's acknowledged. So Bottomless continues to be a big opportunity. We've added some more items that are now in our Bottomless offerings and that helps a great deal. And then beyond that continuing to Red Robin Royalty Reward, those guests that give us the highest loyalty is the way we want to go. We're not looking at any kind of broad discounting or propositions that we ran years and years ago.
Will Slabaugh - Stephens, Inc.: Thank you.
Operator: We'll go next to Brian Vaccaro with Raymond James.
Brian M. Vaccaro - Raymond James & Associates, Inc.: Good evening.
Denny Marie Post - Red Robin Gourmet Burgers, Inc.: Hey, Brian.
Brian M. Vaccaro - Raymond James & Associates, Inc.: Just wanted to ask, regarding the implications on the financial model related to your announcement to slow unit growth, as you think about CapEx into 2017, are there any projects or anything that we should have in mind that might impact that line? And a rough first half would seem to suggest CapEx could be down maybe cut in half next year or may be $75 million, $80 million, is that a good rough start?
Terry D. Harryman - Red Robin Gourmet Burgers, Inc.: Hi, Brian, this is Terry. Certainly our CapEx related to new restaurants is going to be cut in half. However, we're still working on our 2017 plan, and we'll be able to speak more freely to that on our first call in first quarter.
Brian M. Vaccaro - Raymond James & Associates, Inc.: Okay. And Terry, as you think about deploying that free cash flow potentially and maybe speak to, is there a targeted leverage range that you're comfortable with? I think, your credit facility allows you to go up to four and three quarters, I think, you said it was around four, but is there a targeted range? Do you see yourself paying down some debt next year potentially or are you comfortable where you are?
Terry D. Harryman - Red Robin Gourmet Burgers, Inc.: Yeah, Brian. Historically, I think, we've targeted somewhere in the range of 3.75, somewhere in that range. Obviously, we are above that now. I think, our first concern obviously is to make sure that we properly capitalize the company as we're in kind of choppy an environment here. So we certainly will look to make sure that we are focusing on that when we're looking at our capital allocation. I will mention that as I had mentioned in my prepaid remarks, we are wrapping up BTI through the end of the year here and so that will free up about $30 million of CapEx as we go into 2017.
Brian M. Vaccaro - Raymond James & Associates, Inc.: Right. Right. Okay. And then, on the underlying G&A, you mentioned several savings initiatives there. Can you help quantify the magnitude of those potential savings or maybe how should we think about G&A as percent of sales as we go into 2017?
Terry D. Harryman - Red Robin Gourmet Burgers, Inc.: Brian, we're not ready to talk to that for 2017 at this point, but we will be happy to give you an update on our Q4 call.
Brian M. Vaccaro - Raymond James & Associates, Inc.: All right. Fair enough. Shifting gears, just one, if I could. On the store margins in the quarter, obviously some pressure there, a couple of hundred – a few hundred basis points. I was hoping you could provide a little more color as to how much of that is due to some of the labor and local marketing investments that you made in the quarter versus maybe the impact, you shift in strategy towards value? Can you maybe provide a little more color on those labor and local marketing investments?
Terry D. Harryman - Red Robin Gourmet Burgers, Inc.: On the labor front, we had about $500,000 to $600,000 of incremental labor that we invested as a part of the KDS rollout. And on the local restaurant marketing front, I know we've made some incremental investments, I don't have that specific amount.
Denny Marie Post - Red Robin Gourmet Burgers, Inc.: About another $400,000 to $500,000.
Terry D. Harryman - Red Robin Gourmet Burgers, Inc.: About another $400,000 to $500,000, yeah, in the quarter.
Brian M. Vaccaro - Raymond James & Associates, Inc.: Okay. All right. Very helpful. And then, last one from me. On the Burger Works closures, can you help quantify the trailing 12-month sales? And I think you mentioned it was a loss, can you help provide some color on that, on the magnitude of that?
Denny Marie Post - Red Robin Gourmet Burgers, Inc.: We're all looking at Ted, because he is the Burger Works expert here.
Ted Watson - Red Robin Gourmet Burgers, Inc.: Yeah. I'm sorry. Can you repeat that Brian, the magnitude of sales?
Brian M. Vaccaro - Raymond James & Associates, Inc.: Yeah, the nine closures, what was trailing 12-month sales and EBITDA or store-level profitability, however you would like to address it?
Ted Watson - Red Robin Gourmet Burgers, Inc.: Yeah. I would tell you on the trailing 12-period lookout, those restaurants probably averaged $700,000 to $800,000 on the top line on an annual basis. And then looking at the impact to the P&L itself they were certainly negative. What I would tell you is we're in the process of looking at re-subleasing out those sites. So there's still going to be some impact into 2017 from a lease cost. I would tell you just to go ahead and assume status-quo at this point, and we'll have a better update in February.
Brian M. Vaccaro - Raymond James & Associates, Inc.: All right. Fair enough. I'll pass it along. Thank you.
Denny Marie Post - Red Robin Gourmet Burgers, Inc.: Thanks, Brian.
Operator: We'll go next to Stephen Anderson with Maxim Group.
Stephen Anderson - Maxim Group LLC: Yes. So, good afternoon. I just wanted to follow-up on a question – actually a follow-up on your – on the Red Squared initiative that was announced earlier this year, I know KDS has been a part of that. And I congratulate you on the rollout of that. But is there anything else that we should keep in mind that heading into 2017 under this Red Squared umbrella?
Denny Marie Post - Red Robin Gourmet Burgers, Inc.: I think you can definitely because Red Squared, a large part of that was pretty aggressive growth, that's where the 30 units per year or more target was first revealed. So I think you can anticipate as we review 2017 and talk about probably about a three-year plan when we get together in February, you'll see much more emphasis on growing Four Wall Volumes and improving our economics there before we move forward on any kind of aggressive development. But certainly KDS is part of that, we'll know more in February about how well our tests are going on, carry-out, catering and delivery and have some better direction at that point.
Stephen Anderson - Maxim Group LLC: Thank you.
Operator: We'll go next to John Glass with Morgan Stanley.
Christopher E. Carril - Morgan Stanley & Co. LLC: Hi. Thank you. This is Chris, actually on for John. So could you give us a sense of what you're seeing in the overall competitive landscape in casual dining, particularly as it relates to promotional intensity during this past quarter? Thanks.
Denny Marie Post - Red Robin Gourmet Burgers, Inc.: Yeah. Chris, there is a lot of, I mean, it's – I don't know that it's any stronger right now, except that I would say, where you used to open an email and maybe see one offer, you're now opening and rolling down and seeing three and four being pushed forward on a weekly basis by some and a lot of our competitors who do already have carry-out propositions, (31:52) is starting to market or incent those on regularly getting 20% off offers who carry-out from certain locations. So, I feel lot of – I don't know what to call it, well, let's just say a lot of bating with low price like a $5.99 starting at offer that will have one item around that, but most of the items aren't in that price range. We really pride ourselves on having held the $6.99 Tavern Double price point now for almost five years. And we think the guest gives us a lot of credit for that as well. They don't limit it to a certain day part. I feel a lot of lunch-only promotions right now. We see a lot of day of the week kind of offerings. Lot of things that we've tried in the past and are no longer pursuing. So it's interesting to watch, but I think our everyday value proposition is what our guest is looking for.
Christopher E. Carril - Morgan Stanley & Co. LLC: Okay, thanks. That's helpful. And one follow-up if I may. Are you seeing any changes in terms of day parts on your traffic?
Denny Marie Post - Red Robin Gourmet Burgers, Inc.: No, not really. Earlier in the year we saw some week part, we saw some weekend degradation. And we really worked to improve our service on weekends. That was what I was alluding to with the NPS scores, but we're consistently in a 50-50 mix between lunch and afternoon versus dinner and late night. So we've always stood well at lunch compared to many of the other casual diners.
Christopher E. Carril - Morgan Stanley & Co. LLC: Okay, great. Thank you.
Operator: We'll go next to Stephen Anderson with Maxim Group.
Stephen Anderson - Maxim Group LLC: Just I wanted to follow-up on some of the labor costs, just wanted to see what's your hourly wage rate inflation outlook is for next year, if it represents an acceleration from 2016? Also wanted to see if you have any insight into the overtime regulation?
Ted Watson - Red Robin Gourmet Burgers, Inc.: Yes, Stephen. This is Ted. Good question. As far as the Q3 labor inflation impact, it ran at 5.6% for us, if you compare that on a year-to-date basis we're up 5.2%, so a little bit of an acceleration. I would tell you to expect mid-5s% for Q4, so much the same of what you'd seen in Q3. Again we've not given formal guidance for 2017, but what I would tell you is we would expect labor to continue to be pressured probably with costs of goods helping to offset that.
Stephen Anderson - Maxim Group LLC: Yeah. Thank you.
Operator: We'll take a follow-up from Chris O'Cull with KeyBanc.
Chris O'Cull - KeyBanc Capital Markets, Inc.: Thanks. Just a follow-up on that Ted, how much it was labor pressured in terms of basis points because of wages versus deleverage, self-deleverage?
Ted Watson - Red Robin Gourmet Burgers, Inc.: Yeah. So, if you take the 5.5% that I just alluded to, just purely from wage impact, and then you're looking at it as a percentage of revenue, I would tell you that probably half of that deleverage resulted from wages and the other half from self-deleverage.
Chris O'Cull - KeyBanc Capital Markets, Inc.: Okay, great. Thanks. And then given the change in development plans over the next couple of years, has the company changed its incentive comp measurement away from EBITDA growth?
Ted Watson - Red Robin Gourmet Burgers, Inc.: No, we haven't made changes in our incentive comp plans at this point. However, as we're planning for 2017 and longer-term, we are considering what impact that would have on those comp plans.
Chris O'Cull - KeyBanc Capital Markets, Inc.: Okay. Okay. And what was – I may have missed this but, what was the commodity deflation number in the quarter?
Terry D. Harryman - Red Robin Gourmet Burgers, Inc.: Yeah. Cost of goods deflation was down 2.9%.
Chris O'Cull - KeyBanc Capital Markets, Inc.: Great. Thanks, guys.
Terry D. Harryman - Red Robin Gourmet Burgers, Inc.: You bet.
Denny Marie Post - Red Robin Gourmet Burgers, Inc.: You're welcome.
Operator: And we have no further questions at this time. So, I turn the call back over to our speakers for any additional or closing remarks.
Denny Marie Post - Red Robin Gourmet Burgers, Inc.: Thanks again, Vicky, and thanks again to all of you for joining us today. We look forward to sharing more about our plans for 2017, and the years beyond on our call in the February. Thank you, all.
Operator: That does conclude today's conference. We thank you for your participation.